Operator: Good morning and welcome to the Franklin Street Properties Corp., First Quarter 2015 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Scott Carter, General Counsel. Please go ahead.
Scott Carter: Good morning, and welcome to the Franklin Street Properties First Quarter 2015 Earnings Call. With me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; Jeff Carter, our Chief Investment Officer and Janet Notopoulos, President of FSP Property Management. Before I turn the call over to John Demeritt, I must read the following statement. Please note that various remarks that we may make about future expectations, plans and prospects for the company may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Annual Report on Form 10-K for the year ended December 31, 2014, which is on file with the SEC. In addition, these forward-looking statements represent the company’s expectations only as of today, April 29, 2015. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company’s estimates or views as of any date subsequent to today. At times during this call, we may refer to Funds from Operations or FFO. A reconciliation of FFO to GAAP net income is contained in yesterday’s press release, which is available in the Investor Relations section of our Web site at www.franklinstreetproperties.com. I’ll now turn the call over to John Demeritt. John?
John Demeritt: Thank you, Scott, and good morning, everyone. Welcome to our first quarter 2015 earnings call. On today’s call, I’ll give a brief overview of our first quarter results and then afterwards this [indiscernible] would be George Carter our CEO, who will discuss our performance in more detail and provide us an update on our operations and overall strategy. Jeff Carter is then going to speak about our investment activities. And then it will be followed by Janet Notopoulos, President of our Property Management area to discuss leasing activities and then after that we’ll be happy to take you questions. As a reminder all of our comments today will refer to the earnings release supplemental package in 10-Q we filed last night with the SEC, and as Scott mentioned they can all be found on our Web site. We reported a decrease in funds from operations or FFO of $3.1 million for the quarter to 25.7 million for the first quarter ended March 31 compared to the first quarter of ‘14. The decrease was primarily from lower property income as a result of previously announced property dispositions that we made and some single asset loan repayments that we received in the last 12 months and from a lower occupancy which was partially offset by lower interest expense. FFO per share was $0.26 as a result and that compares to $0.29 per share that we had in our first quarter of ’14. Our results were in line with what our expectations were and as you may know subsequent to the end of the quarter, we did acquire two Ravinia property in Atlanta for 78 million which is more of our core markets. This transaction we employed just about all the proceeds from recent dispositions and loan repayments that we made. Moving to the balance sheet, current financial position at 3/31/15, we have about $860 million of unsecured debt outstanding and our total market cap rose about 2.1 billion. From our liquidity standpoint we had about 15 million in cash and 260 million available on the lines, so we have about $275 million in liquidity at the end of the quarter, that’s up from about 240 million of where we were at year-end. This liquidity supports us and matches against our balance sheet strategy while having a line of credit available to do acquisitions and have enough line of credit to pay down acquisitions without breaking a swap or adding a prepayment penalty. We’ve talked about that on other calls. So with the activity we had in the first quarter in April we do remain very comfortable with our leverage. Our debt to total market cap ratio was 40.1% at the end of Q1. Debt service coverage ratio was about five times for the quarter and our debt to adjusted EBITDA ratio was about 6.9 times and we feel good about those measurements. We remain an unsecured borrower, we are a rated borrower and we have about 79% of our outstanding debt that is effectively fixed or not affected by changing interest rates. As we continue to execute our asset recycling program, we believe our balance sheet strategy enhances our ability to, as I said before opportunistically sell non-core assets and reinvest proceeds as we grow. Before I turn the call over to George, I’d like to provide an update on guidance. As we put in the press release, we’re maintaining fully here 2015 guidance in the $1.03 to $1.08 FFO per share range and the guidance takes into account the loan-payoff activity in the recent dispositions I talked about as well as the Atlanta acquisition that we did on April 8th and our current expectations of economic conditions as we look ahead in ’15. It does not include the impact of future acquisitions, dispositions or capital market transactions which we would update guidance as we move ahead on those things. With that, I’ll turn the call over to our CEO George Carter. George?
George Carter: Thank you John and again welcome to Franklin Street Properties first quarter 2015 earnings call. We started 2015 for FSP has been punctuated by starting to achieve some real success in executing our strategy of property recycling. And that strategy is again to sell, many of our non-core shore suburban office properties at what has become, historically very strong prices. Most of these properties are 100% occupied upon sale and are reaping some of the benefits of compressed cap rates and lower competitive interest rates, maintaining those disposition proceeds and using them to acquire urban infill CBD town centre office properties. Usually those new acquisitions with a meaningful value added opportunity associated with them and primarily looking at acquisitions within our five core markets. And we are very optimistic about our prospects for continued success in this effort for the balance of the year. A good representation of the timing and size of our past property dispositions and then the recycling of those disposition proceeds in for our new acquisition and we found in our supplements that we just filed yesterday and I would refer all of you to that supplement page 24 titled transaction activity. And on that page it will show both our dispositions and recent acquisitions and it will show at the bottom of that page, four dispositions that have occurred basically over the last 17 months. The proceeds from which had not been reinvested through the first quarter of '15 into gaining new property acquisitions, but for us, on April 8, we reinvested those proceeds into the Two Ravinia project in Atlanta. And just to run through those dispositions real quickly that’s East Renner about 12.5 million, Centennial about 15.5, Willow Bend is about 20.7 and Eden Bluff at about 28 million in the most recent disposition. Those disposition proceeds totaled up to about 76.7 million and as John said we also during 2014 had some of our single asset loans repaid and sort of the net remaining of that was then redeployed into increasing loans on other properties or other things. That was about 6 million. So between that 76.7 million of property dispositions over the last 17 months and the net from the single asset REIT loan repayments, we have about 82.7 million of proceeds to reinvest. And that's just about matches almost precisely that Two Ravinia purchase, which was 78 million in purchase price plus an estimated 4.8 million in capital improvements that we wanted to do with the property. And we are very excited about the Two Ravinia purchase. We had great success we believe on anyway to One Ravinia, which is its next door neighbour. The properties look very-very similar, and we think there was just a ton of synergism between the two properties. We've been trying Two Ravinia for some time, and had the opportunity to do it -- take advantage of it. The number of tenants are different in the two properties really dramatically the size of the spaces and demise spaces in the two properties would really work together well. A lot of efficiencies in operations, Toby Daley, he was our Regional Director in Atlanta and whom many of you have done tours of our Atlanta properties with, is also here in the call today. So if you have any questions about Two Ravinia or the Ravinia project, what our ideas are, they are appropriate to ask him in the Q&A, Toby will be happy to talk to you. But the bottom line is we've been selling NOI for quite a while before replacing it. As I mentioned in the last quarter's call, how disappointed we were that we could not do a meaningful acquisition in 2014. It's not that we didn’t try. It's the underwriting just didn’t match up with what we needed on projects that we were very interested in. But Two Ravinia finally is [indiscernible] really on target, very excited. For a bigger view of our total investment activity, now I will turn it over to Jeff Carter our CIO.
Jeffrey Carter: Thanks, George. Good morning, Everyone. This morning I will review our investment activities including the two recent dispositions which was discussed by George, which were completed during the first quarter and our recent acquisition in Atlanta of Two Ravinia Drive, which we completed subsequent to quarter's end. I'll conclude with the discussion about the status of our potential development project in downtown Minneapolis, at 801 Marquette Avenue. First on the asset recycling front; as George indicated, FSP continues to be actively engaged in asset recycling efforts of non-core commodities suburban assets when pricing is appropriate. We had indicated the potential for dispositions of non-core assets of up to 150 million to 200 million and we continue to think that this range is a meaningful estimate of our potential asset recycling efforts, which may also include the potential repayment of certain outstanding single asset REIT loans. And we will continue to update the market as greater clarity of progresses achieved. During the first quarter of 2015 we announced the disposition of two assets, which added to the one disposition in Colorado Springs at the end of 2014. It is important to point out as George mentioned that FSP has been selling nearly 100% lease non-core commodity suburban property in order to reinvest into more and more value added and under lease infill office properties that are position within the best locations in our top five core markets. More specifically, to this first quarter 2015 we sold the 100% leased Willow Bend Office Center in Plano, Texas on February 24th for $20,750,000 in about $1.462 million gain. Dallas remains a committed core market ti FSP, but Willow Bend was a two storey commodity suburban property that was acquired originally back in 2000. Additionally, we sold the 100% leased Eden Bluff Corporate Center at Eden Prairie on March 31, 2015 at Minnesota for 28 million at an approximate $9 million gain. Minneapolis again remains a committed core market of FSP, particularly downtown Minneapolis. But Eden Bluff was a single storey commodity suburban flex product that was required originally in 2009. And as previously discuss during last quarter’s conference call, the nearly 100% leased Centennial Tech Center in Colorado Springs was sold December 23rd ’14 for 15.5 million, about $940,000 gain and this was a single storey flex product, our only asset in Colorado Springs and so it was an exit from that market for us and a property that was originally acquired in 2000. In Sum we have sold three nearly 100% leased properties since the fourth quarter of 2014 were 64,000,250 at an average cap rate that's between 6.5% to 8% and recognized total gain of about 11.4 million on those sales, all in order to reinvest so far into one infill property in Atlanta core market for us. And that property was approximately 80.5% leased that closing at below market ramps. Looking ahead at potential future dispositions, FSP has its Park Seneca Charlotte North Carolina suburban office property that was originally acquired in 1997 currently under a purchase of sale agreement for 8,150,000. This remains subject to customary closing conditions and so we will update the market further. The current lease is likely to close on or about May. This closing would bring our total dispositions since the fourth quarter ’14, at 72,400,000 till successfully closed. Additionally, we are currently marketing and exploring the sale of several other non-core assets and or a single asset REITs with outstanding rooms that would be repaid by FSP, which could represent gross proceeds of between approximately a 100 million to 150 million additional dollars in 2015 assuming of course we’re able to achieve appropriate price levels and we’ll continue to keep the market informed of any progress there. Moving onto acquisitions. After a quiet 2014 FSP has ramped up our reinvestment acquisitions efforts in 2015 with the purchase of Two Ravinia Drive on April 8th and I will give a brief description of this acquisition at the end of this session. As mentioned on our last conference call, FSP is targeting between 150 million to 300 million in acquisitions during 2015, which aside from Two Ravinia is not in our current FFO guidance. FSP is actively working on several specific opportunities at this time that we believe will contribute meaningfully to our future growth and profitability. We’ll continue to keep the market we are any specifics when and it is appropriate to do so. We continue to seek urban infill and CBD office assets in the strongest and most amenity rich locations in our five core markets. We’re seeking below replacement cost assets and opportunities with irreplaceable locations that have a range of opportunities for value creation associated with them. These include assets, in some cases with significant vacancy in the plus or minus 50% to 75% lease rate range, as well as more stabilize assets that are in the plus to minus 90% lease range that may have all markets rents in place and/or the ability to create value in the near or intermediate term upon lease role. Our underwriting criteria is truly dependent upon the nature of the investment question with variance between larger value-add and more stabilized assets. So generally, we are seeing going in GAAP cap rates of between 5% and 6% on most of what we are currently underwriting. Our pipeline continues to be strong. FSP continues to have healthy acquisition pipeline of about 575 million currently. And interestingly almost all these currently are uniquely off the market and unless the deals at this moment. The majority of our most promising prospects that are underwriting are in the Atlanta and Dallas. Again, we're seeing a wide range of profiles in that pipeline from as well as 30% lease to well over 90% leased. Looking at the Two Rivinia Drive acquisition in more detail. As we reported on April, we announced the acquisition of Two Rivinia Drive for $78 million. Two Rivinia is a 17 storey, approximately 442,000 square foot class-A multi-tenant office tower with attached parking garage, that was approximately 80.5% leased as of closing. As George indicated this property was highly attractive to FSP, as we own the immediately adjacent One Rivinia Drive that we acquired in 2012, which was brought from just over 80% lease to currently over 90% lease. FSP has now increased our total footprint in our core Atlanta market to about 1.8 million square feet with over 800, 000 square feet now in the prime Central Perimeter Submarket. The going in GAAP NOI cap rate for the Two Rivinia acquisition falls within the range that I just described earlier of between 5% to 6%, that I discussed during the earlier portion of the acquisition comments. FSP believes that the current replacement cost the Two Rivinia is between $325 to $350 a foot, which compares favourably with the approximate $176 a foot purchase price. We are planning capital investments of approximately 4.8 million over the next 3-4 years among other things, modernized building elevators, modernized building HVAC system, finished converting former health club space. Again, the property was approximately 80.5% leased at closing at rates that we believe are about 25% below the day's average asking market rents, which represents a meaningful opportunity for growth for Franklin Street. Moving on to our development activities at 801 Marquette Avenue in downtown Minneapolis, positive activities continue to occur. As we discussed on the last call, we continue to contemplate two development scenarios discussed on that last call. One in office only development, and two were much larger mixed use development that could contain hotel, office, retail and/or residential components or some combination thereof. We continue to report strong interest in the site from perspective hotel groups, office customers and residential groups. I have no new announcements since our last call together, but will continue to update the market with any material news and announcements. We still anticipate that approximately 200,00 square feet of office space would best serve the demand that we see in the market place. And again, as we discussed in the last call, depending on which scenario selected, cost should approximate between roughly $325 to $400 a foot in total cost for the 200,000 square foot office portion to FSP, which equates to approximately $65 million to $80 million in very rough numbers. Again, these are still preliminary and so please expect some variance. At this time, I’ll turn the call over to Janet Notopoulos, our President of Asset and Property Management to discuss leasing and property operations.
Janet Notopoulos: Thanks, Jeff. I just want to add a few points about leasing. We have a quiet first quarter consistent with national leasing trends and seasonal pattern. Despite selling two 100% occupied buildings and recognizing the impact of the RGA move out at the Timberlake in St. Louis we ended the quarter at little over 90% lease. This is down from 94% at the beginning of last year and you can see these trends in our leasing statistics on page 10 of the earning release and you can see the impact on the NOI in the same-store NOI table on page 8 of the supplemental. And then you can see that we received termination fees at the beginning of 2014 and the resulting vacancies began at the end of that year and into the first quarter. Because most of the vacancies came in the last part of 2014 or in January of this year, the spaces have not been on the market long and we've been busy taking control of those spaces and getting the market ready during this first quarter. Our renewals continue to be strong and we've been able to increase rates in almost all cases. Aside from the new lease at Timberlake that I'll discuss later, we did mostly renewals or small leases. As of March 31, only 3.8% of the square foot of each of the portfolio was schedule to expire during the remainder of 2015. Most of that is in the bad cap of the year and we are actively working on those leases. Two Ravinia is the new Atlanta acquisition that was acquired in April, is around 80% leased. So we will pick up some new vacant space to lease. But the property will only add approximately 20,000 square feet to the 2015 expirations. So, even with the addition of Two Ravinia and sale of the two 100% leased buildings in Q1 we should stay around 90% lease for the second quarter. With additional leasing we could do even better borrowing any unforeseen events or new acquisitions or dispositions. At Timberlake in St. Louis where RGA left on December 31, we executed a 43,754 square foot five year lease with Energizer Holding at $24 per square foot with $0.50 bunk which is approximately 3% higher than RGA's expiring gap rent. That lease is expected to commence next month. Timberlake is still the only 100,000 square foot option in all Highway 40 Corridor. And we currently have several good prospects for various space need, most of them with 2015 or early 2016 moving dates. We expect the rents for new leases to be in the same range of the Energizer lease probably higher depending on the size and location of the premises and we believe that because of the shrinking availability in the market and our expectation in the market intelligence that rent in general in the market are rising. With that, I'll turn it back to George.
George Carter: Thank you, Janet. And we’ll open it now for Q&A.
Operator: [Operator Instructions] And our first question will come from John Guinee of Stifel, please go ahead.
John Guinee: Just one quick question and you may have said this and I just missed it. But on page 8, when you were going through some same-store NOI numbers, what's your average economic occupancy in 1Q 2014 versus your average economic occupancy in 1Q 2015?
Janet Notopoulos: And so are you -- economic occupancy, I'm sorry, you're saying our physical occupancy as opposed to our leased occupancy?
John Guinee: Either one, whatever you have handy. What we are trying to do is figure out how much of this drop in NOI is attributable to occupancy loss and how much is attributable to rent roll downs?
Janet Notopoulos: I would say most of it is attributable to occupancy loss. We're not seeing large rent roll down
John Guinee: Okay. Great. Just after the call, just send us that number and then if -- and then has any questions, otherwise we'll see at the floor
Operator: [Operator Instructions] The next question will come from David Rogers of Robert W. Baird. Please go ahead.
Stephen Dye : Hi, this is Stephen Dye filling in for Dave. Thanks for all the detail at the front end of the call. I just want some clarity on some of the acquisitions. You mentioned, you are seeing opportunities in Atlanta and Dallas. But I was wondering more about Houston and if anything has come up there given everything that's going on in that market and if any opportunities have come to the forefront there?
Jeffrey Carter : Hey, Stephen, Jeff Carter here. Thanks for the question. Houston has continued to be as it was for us in the last quarter as well. A market that has seen very few, market as the opportunities, obviously there was a big closing in downtown Houston. But in general the investment activity from marketed deals has been very wide, given I think some of the volatility in the energy markets and there is not much that we have been that’s available. And then it includes on and off-market basis. I haven’t seen any invitation of that changing in the near term, but we'll keep our eyes open for opportunities as when they present.
Stephen Dye : And then, I know we discussed some of the St. Louis leasing, but has the strategy changed at all from what we discussed on the fourth quarter call to today or is it still the same with regards to the three separate buildings there?
Janet Notopoulos: I think the strategy remains the same, which is that the Energizer leads is an example of that, where we have the third building being multi-tenanted and this bad lease was approximately 43,000 square feet we could -- that that lease went into the existing multi-tenant building. So that we still have 116,000 square feet for a single tenant or a larger user or two larger users in the market. And we'll keep on obviously responding to the type of tenants that are in the market, but that -- there seem to be enough big ones mixed with some small ones to keep with that strategy.
Operator: And our next question will come from Tom Lesnick of Capital One Securities. Please go ahead.
Tom Lesnick: Janet, I'm sorry if I missed this earlier. I know RGA obviously impacted same-store performance in the Midwest, but with regards to the West and South, what was driving the year-over-year change in that?
Janet Notopoulos: That was what I was referring to earlier, the terminations and expirations that happened at the end of the year. So we had big early terminations and with late in the year moved out in the West in Denver. We had some known vacancies that again also came at the end of the year in Houston and then California, and so that didn’t -- someone answered John Guinee's earlier question, that is really the driving force between the drop in the NOIs, though taken, it came up. And compared to the quarter before, which is the year before comparison, it not only had the rents, but also had the amortization of the termination fee. So was sort of doubly higher than the vacant space.
Tom Lesnick: Thanks for the clarification. Toby just shifting to Houston. I'm curious, over the last few months oil has stabilized a little bit. It's ticked up now to kind of upper 50s. Have you seen any shift in leasing trends or dynamics down there, whether be concessions for just rent period or what are you seeing down there?
Toby Daley: Right now, Tom we're seeing really solid leasing interest in the vacancies that we have. And in terms of the economics there's really been very little shift, but that has been a little bit. You might be giving an extra month or two of free rent to secure at least today versus at the end of last year. You might be paying may be $5 more per square foot in TI on a 10 year deal and less than that on a shorter term. But overall things remain very busy and we remain 94% leased in Houston.
Tom Lesnick: Shifting gears to Minneapolis. I know you don't have an update on the TCF site development, but as we think about tenant demand there, have you guys seen any shift in large user versus small user demand? Is there any uptick in the specific industry demand out there?
William Friend: I am the Asset Manager, Regional Director of [indiscernible] Minneapolis. I think it's been consistent with seeing over the past quarter an increase actually in slightly larger demand and developing a pipeline for upcoming vacancy that will get in the beginning of next year, but overall it's been a nice range of the low range in the 5 to 10, up to the 20s and 30s, that are active in the market that we're seeing at the building. [multiple speakers]
Unidentified Company Representative: We were talking about TCF tower.
Operator: And at this time I'm showing no additional questions in the queue. We will conclude the question and answer session. I would like to turn the conference back over to George Carter for any closing remarks.
George Carter: Thank you very much for tuning into our earnings call. We certainly appreciate it and we hope to see many of you at REIT WEEK in New York in early June. Thanks again.
Operator: The conference has now concluded. We thank you for attending today’s presentation. You may now disconnect your lines.